Operator: Good morning, ladies and gentlemen, and welcome to the UVE Third Quarter 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. . As a reminder, this conference call is being corded. I would now like to turn the conference over to Rob Luther, Vice President of Corporate Strategy and Investor Relations.
Rob Luther: Thank you, and good morning, everyone. Welcome to our discussion on our third quarter 2021 earnings results, which we reported yesterday. On the call with me today is Steve Donaghy, Chief Executive Officer; and Frank Wilcox, Chief Financial Officer. Before we begin, please note today's discussion may contain forward-looking statements and non-GAAP financial measures. Forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. For more information, please see the press release and UVE's SEC filings, all of which are available on the Investors section of our website, at universalinsuranceholdings.com, and on the SEC's website. A reconciliation of non-GAAP financial measures to comparable GAAP measures is included in the quarterly press release. With that, Steve, I'll turn it over to you.
Steve Donaghy: Thanks, Rob. Good morning, everyone. Our third quarter results reported yesterday demonstrate continued execution of our multi-year strategic priorities including disciplined growth and operational improvements. Our direct premiums earned growth of 15% in the third quarter was primarily driven by primary rate increases in Florida earning through the book. We have now filed for more than 34% in primary rate increases in Florida over the past 18 months, while simultaneously continuing to shape our underwriting risk with total policies in force relatively flat year-over-year. Our business expenses were lower from continued expense management controls, including lower agency commissions, and employee productivity gains. In addition to lower executive compensation accruals, these results were highlighted by a 16.4% annualized return on average equity in the quarter. I'd like to now turn it over to Frank to walk through our financial results. Frank?
Frank Wilcox: Thanks, Steve. As a reminder, discussions today on adjusted operating income, and adjusted EPS are on a non-GAAP basis and exclude effects from unrealized and realized gains and losses on investments in any extraordinary reinstatement premiums and related commissions. Adjusted operating income also excludes interest expense. We ended the third quarter with total revenue down 7.8%, to $187.3 million driven primarily by the realized gain on investments of $53.8 million in the third quarter of the prior year versus a 4.3 million realized gain in the current quarter. Direct premiums earned were up 15% for the quarter led by primary rate increases in Florida and other states earning through the book as policies renew. EPS for the quarter was $0.64 on a GAAP basis and $0.63 on a non-GAAP adjusted basis driven by a combined ratio improvement of 36.1 points for the quarter to 98.6%. The improvement was driven by a 30.9 points improvement in the net loss in LAE ratio from decreased weather events and lower prior year's reserve development, partially offset by current year strengthening and higher reinsurance costs impact on the ratio. The expense ratio improved 3.7 points on a direct premiums earned basis due to continued focus on operating efficiencies as Steve mentioned in his remarks. On a net basis, the expense ratio improved 5.2 points for the quarter. On our investment portfolio, we saw our net investment income decrease 38.6% to $2.8 million and our realized gains decreased 92% to $4.3 million for the quarter. Both decreases are the result of the sale and subsequent reinvestment at lower yields of a majority of securities in the portfolio that we're in an unrealized gain position in the third and fourth quarters of 2020 to recognize the fair value benefits in surplus. In regards to capital deployment. During the quarter, the company repurchased approximately 101,000 shares at an aggregate cost of $1.4 million. The company's current share repurchase authorization program has $17.8 million remaining as of September 30, 2021 and runs through November 3, 2022. On July 19, 2021, the Board of Directors declared a quarterly cash dividend of $0.16 per share of common stock, which was paid on August 9, 2021 to shareholders of record as of the close of business on August 2, 2021. As mentioned in our release yesterday, we are maintaining our guidance for 2021. We still expect a GAAP and non-GAAP adjusted EPS range of between $2.75 and $3 and a return on average equity of between 17% and 19%. The guidance assumes no extraordinary weather events in 2021. It also assumes a flat equity market for GAAP EPS. If weather events exceed plan, we expect to see both the benefit from our claims adjusting business and increased loss cost. With that, I'd like to ask the operator to now open the line for questions.
Operator:  And our first question comes from the line of Tom Shimp with Piper Sandler. Your line is open. Please go ahead.
Tom Shimp: Good morning, guys. We're now a few months past the effective date of Florida property insurance reform. I know it's still early, but can you guys give us your first thoughts on how the bill is impacting litigation trends and additionally, are there aspects of the bill that are ending up to be more positive or more negative than you initially expected.
Steve Donaghy: Tom, good morning, Steve Donaghy. You know, I think our initial comment, we use the term cautiously optimistic and we continue in that vein for several reasons. The scale of outer adjusting, which is our internal adjusting ARM enabled us to move very quickly in responding to the legislation. And I think the other side of the legislation ARM, the attorneys are forced to prepare their request in a way they didn't have to in the past. So there is some pressure on them to be more organized and how they proceed. And it gives us a window to settle the claim fairly which didn't exist in the past. So we see that as a positive result of the legislation. We also see the fact that the other side needs to look at their fee recoveries in a way that they didn't in the past and it forces them to be more fair in their request if they realize they have to go to court and eventually win a larger settlement that usually is not achievable and has not been achievable in the past. So those are the aspects of it. We feel good about the two year tail on cash and other request for funds after the claim is settled is also - we feel that will be favorable, that's two years out. So as we get to those points, we'll see the benefit. I would also point that  year-over-year is beginning to decline as well across the state. So I think that's a fair indicator to look at and the AOB legislation from 2019 continues to serve us and the state well, at this point. So sorry for the long answer, but we're going to try to enough cover for you.
Tom Shimp: That's great. So the company has been fortunate to avoid some of the most serious storms the past year or two. Maybe you could give us an update on capital adequacy and what is available to downstream from the holding company. In addition, maybe some updated thoughts on and your growth appetite as it relates to that capital because I know in the third quarter test fell in both Florida and other states. Maybe just an update there and how you're thinking through both of those dynamics.
Frank Wilcox: Good morning, Tom, this is Frank. So, I mean the good news is that we are growing top-line premium for UPCIC through rate increases. And that's, that increase in premium demands capital. So we continue to support the capital needs. In addition to that, we've taken more conservative approach of the current accident year by increasing the loss pick up to 42%, which also puts demands on capital. So we infused 15 million of cash in the month of August. And in the month of October. We also infuse 20 million, which will count as of surplus, as of 9/30 through an approval process that you go through with the OIR similar to what we did at the end of the year. So as the holding Company continues to have capacity to continue to support the insurance entities, which we believe is the number one priority.
Steve Donaghy: And Tom, I would add, relative to your question about rate and the other states. We are hyper-focused on risk and rate at this point. So we analyze what we're willing to take in, where we willing to take it in. And our internal profitability model has served us well relative to zip codes territories, et cetera, as to where we want to write business in a rate adequate manner and we continue to grow in certain states, and we've pulled back in some others where we didn't feel as though the rate was adequate for growth. So, but overall growth continues from a policy count more on a temporary basis but on a rate perspective, it continues to flow through the books.
Tom Shimp: Okay, great. And maybe just one more from me. In the press release, you said it 34% rate increase in Florida over the past 18 months, I think investors sometimes forget it takes time for these rate increases to become active, and then written and then eventually earned into income - the income statement. So maybe you could help us think through, the timing of how we think we should think about these rate increases, leading to improved underlying results.
Steve Donaghy: Yeah. So it's a really good asked Tom that you pick up on this. The rate is always a laggard by 12 months within our business across it. So while the rate is flowing through. We continue to deal with a very hard market across several states, but within Florida, the most recent approved rate is 14.9% that is really just beginning to flow through for new business and in Q4 will affect renewal. So a savvy investor could - would understand that we will continue to take rate throughout the next 12 months in a favorable manner at UPCIC.
Operator:  I'm showing no further questions at this time. And I would like to turn it back over to Steve for any closing remarks.
Steve Donaghy: Yes, I'd like to thank all of our associates, consumers agents and our stakeholders for their continued support of Universal and I wish you all a great day. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.